Operator: Good morning. My name is Cindy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Wix's 2019 Fourth Quarter and Full-year Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] For those on the webcast, you may submit questions throughout the event by typing in the 'Submit a Question' box on your screen. I will now turn the call over to Maggie O'Donnell, Director of Investor Relations. Please go ahead.
Maggie O'Donnell: Thanks, Cindy. Good morning, everyone, and welcome to Wix's fourth quarter and full-year 2019 earnings call. Joining me today to discuss our results are Avishai Abrahami, CEO and Co-Founder; Nir Zohar, President and COO; and Lior Shemesh, CFO. During this call, we may make forward-looking statements, and these statements are based on current expectations and assumptions. Please consider the risk factors included in our press release and most recent Form 20-F that could cause our actual results to differ materially from these forward looking statements. We do not undertake any obligation to update these forward-looking statements. In addition, we will comment on non-GAAP financial results. You can find all reconciliation between our GAAP and non-GAAP results in our press release, presentation slides, shareholder update, as well our Interactive Analyst Center on the Investor Relations section of our Web site, investors.wix.com. Before I turn the call over to Avishai, I want to mention that we will be hosting an Analyst and Investor Day on March 18, in New York. Please email us at ir@wix.com if you are interested in receiving an invitation. Now, I will hand it over to Avishai, who is going to say a couple of quick words about the quarter.
Avishai Abrahami: Thank you, Maggie, and welcome everyone. We ended 2019 on a very strong note. We finished the year with 28% collection growth on a FX-neutral basis, which was higher than expected. By all accounts it was a fantastic year. Before we go to questions, I just want to emphasize how excited I am about 2020. Never before have we had so many new initiatives, new product, and new opportunities heading into a new year. In 2020, we will, for the first time ever surpass $1 billion in collection. It is a great symbolic milestone for our business, and what I think of as the beginning of Wix’s second act. It is a symbol of how we have become so much than a Web site builder. Wix today is the home of over 165 million people who not only build their Web site on our platform but also manage the communication and relationship with our customers, their fans, and their users. It is a place where a full business can be run allowing the small business the same opportunities as the big one. With the recent announcement of Editor X, a whole new market is opening to us. We see huge opportunity in this market of larger businesses and global brands. We believe that with upcoming launch of Editor X combined with Corvid that our offering is remarkably better than any product in the market today. We are ready. We are executing against it, and we have more to come. My management team and I are extremely bullish about what this mean for our business, and I believe it will accelerate our growth in the next couple of years. With that, we can now take your questions.
Maggie O'Donnell: Thanks, Avishai. Operator, can we take the first question please?
Operator: Your first question is from Ron Josey from J.P. Morgan.
Ron Josey: Great, thanks. I am from JMP, and I just wanted to ask little more about the new disclosers in the quarter around creative subscriptions and business solution. Maybe Avishai and Lior, I think the data is extremely helpful as to understand the drivers of business, but any additional context of what’s included in the breakdown of the drivers specifically with business solutions, I know G Suite and payments are included. So, any insights there would be helpful, and then, maybe taking a step back as we think about, as Avishai you mentioned the new day or whatever of Wix coming forward, just the approach in deciding why these new reporting lines are most relevant? Thank you very much.
Avishai Abrahami: So, I am going to [indiscernible] I am going to ask Lior to describe what is included, and then I will take the second question.
Lior Shemesh: Sure. So, first of all, with regard to the -- in general to the changes that we have made we feel that those changes actually serve and provide much more transparency into our business, and we need to understand that our business has evolved in the last few years. As we mentioned many times in the past, we are no longer just a Web site builder, we are much more than that, and I think that the breakdown of the revenue of the top line into those two separate segments actually provide the right transparency in order to really to understand the business and the changes that we went through. With regard to the content of each of them, the creative subscription in a way, it include all the packages that we sell and monetize, including also the domain. While the business solution when you think about it, this is exactly the changes that we went through. Include all the different application as well as payments, applications like G Suite, Ascend, obviously payments, and many other initiatives that were included over there. We believe that if we take, for example, the Editor X would be a great contribution to the creative subscription in the future and to its growth, and obviously, for the business solution we see a big potential specially coming from payments and other application and more solution that we intend to introduce in the future.
Avishai Abrahami: So, second part of your question, why we think that it’s a time that we actually start to report additional information, I think that as price discrepancy between customers grows, and we now have customers that are paying $5 a month, and then, people that pay a thousand times that on Wix, and we believe that just telling about the amount of subscription becomes less clear, because obviously each one of them holds dramatically different value. As a result, we think that we need to provide more transparency, and on the standard subscription base model of the Web site building part and then on the other side on the business management growth that we also see growing very quickly.
Ron Josey: Great, thank you very much.
Maggie O'Donnell: Thanks, Ron. Can we have the next question please?
Operator: Your next question comes from Ken Wong from Guggenheim. Please go ahead.
Ken Wong: Great, thanks for taking my question. So this question is just regarding fiscal 2020 growth. When I think about your outlook, the first thing that popped into my head is just some of the headwinds that you guys experienced in fiscal year '19. I think a lot of us were expecting maybe subs reaccelerating, customer support contributing, I think you guys had mentioned five points of growth, and then also seeing some traction with Corvid. When thinking about your outlook, how are you feathering in some of those elements, how some of those pieces been pushed out a little? Any color there would be great.
Lior Shemesh: Hi, Ken. This is Lior. So I think that -- let me start with the fourth quarter, we managed to beat our own expectation during the fourth quarter, and that was -- and by the way, also in term of the net addition in terms of subscriptions, and that was for us a great indication for the strength of our business, and especially the new initiatives like going into the creative market, and also with Corvid, and other new initiatives like payments, and so on. We believe that looking in the last few years we have a really strong track record of growth, which I believe that will continue. We’re entering into a new market with a huge opportunity, and we feel really, really excited about it. We actually started to see things happening, and I believe that it will generate even higher growth in the second-half of the year, once we’ll start to monetize on Editor X, obviously not everything is part of our guidance, because some of it is still in progress, and some of it we simply need to understand exactly what will be the model, especially when we talk about the Editor X and the monetization itself, that's going to be in the second-half of the year. A very important thing to remember, we've never had so many new products in initiative, and we believe that those new products and initiatives are going to provide more upside for us in the coming in the near future.
Ken Wong: Great. And then, maybe if we can just -- I'm not sure if you guys have kind of thought this through yet, but thinking about the creative business and then the business, the business segment, any rough sense of how we should be thinking about growth between those two buckets?
Lior Shemesh: So, obviously what we provided the guidance is just one number and I think that it's something that we didn't want to provide guidance for both of them separately, and let me try to explain why. Sometimes there is a mix between subscription to business solution, and I believe that at this stage, it makes much sense to provide only one number, but then again, we provide you with the model in how the subscription, creative subscription is actually acting, especially together with the AR that we provided for the first time, which is going to provide you much more color and transparency about how to try to predict it, but at this point of time, we feel very comfortable in providing just one number with regard to the guidance.
Ken Wong: Great, thanks a lot guys.
Maggie O'Donnell: Thanks, Ken. Can we have the next question please?
Operator: Your next question comes from Ygal Arounian from Wedbush Securities. Please go ahead.
Ygal Arounian: Hi, good morning, guys. Maybe I'll try the guidance question, a little bit more directly with agency question, you guys are clearly excited about agency professional designer market, you've put a lot of the pieces together over the course of 2019, anyway, to help investors understand how much that's contributing today, we're early there, but how much is it contributing? How much is it contributing to the overall guidance for the year and understand that there's upside if it starts to build out but is it built into guidance at all? And then a related follow-up, you put the sales team in place over the course of last year after Editor X was a kind of big missing piece in the go-to-market for the sales team and so if you help also help us understand how the sales teams contributing to the push. If that helps accelerate growth and expand opportunity and did they need Editor X before they were really able to make meaningful headway in that market? Thanks.
Avishai Abrahami: This is Avishai, trying the first part, so what we do see is that we have really good growth on the professional creators and agencies, and which exceeds the 50% growth year-over-year, and we're very excited about that. It will be starting to become significant numbers. As we started to see that the opportunity there is not just really -- but it's something that is available for us and we can easily participate, where we started to work on Editor X because it will give us even the ability to further accelerate into that domain. One of the things we really like about this domain is that if you look at it in terms of what does other companies who provide tools for the creators and designers -- on web design, it's really a bunch of old tools with companies that are boring, and I think that this is a time where we have really a massive opportunity. Obviously, like everything else, we provide guidance the thing that we do know that we're able to achieve and all the things that we hope we will achieve. So, the portion that we are aware that we can achieve is already in the guidance. Everything else is hopefully we're going to continue to beat guidance that we provide.
Maggie O'Donnell: Thanks, Ygal. Can we have the next question please?
Operator: Your next question comes from Deepak Mathivanan from Barclays. Please go ahead.
Deepak Mathivanan: Hey, guys. Thanks for taking the question. Two quick ones from us, so first, the advertising spend was up 14% last year, which has fairly decelerated over the past couple years. I know 2019 is a bit of a unique year given the pricing changes and shifts towards more sales force, but are you facing constraints on ad returns and ROI to acquire new users at this time? How should we think about the advertising spend in 2020 and then going forward? And then, the second question is for Avishai. Where is payments penetration right now? Maybe talk about it in terms of new subscribers or existing subscribers. Is the adoption curve kind of tracking as you had originally expected? How does it compare to your expectations? Thank you.
Lior Shemesh: Yes. Let me start with the marketing. Today, we are still under the seven to nine months TOI, there was no change by the way in terms of the way that we actually -- the way that we actually do the marketing in the go-to-market with regards to that. We are still able to generate the growth in terms of the number of users that we are getting. And we can actually see that as part of the numbers. And we don't see any changes with regards to that. As for the agencies, obviously, we already started the process of breaking it down for our own use in order to measure it obviously, separately, but let's remember that as part of the two million users that we bring to every month, there are many of them that are agencies, and many of them are creators. That said, I don't expect the seven to nine months to change in the near future.
Avishai Abrahami: And this is Avishai. In respect to - regarding a - was using payment today, and so when we release this product, we assume that the majority of the new users will adopt it. And we do see that happening, and we estimated going to be some move from all customers, and what we see today is that we actually have a bit more than we expected move from our old customers into payments, because of the quality of the way that you can actually track transactions. And so, as usual, we see both of them going very well. The majority of new users today on Wix choosing which Wix payment and pretty much everybody who change or other payment solution on an old store and all any kind of a transactional base product on Wix is moving to Wix payment. So we are very proud of the product and obviously, it's already returned a lot of the value that we expected. And I think that it will continue to do so.
Maggie O'Donnell: Thanks for your question Deepak. Can we have the next question, please?
Operator: Your next question comes from Naved Khan from SunTrust. Please go ahead
Naved Khan: Yes. So, I think previously you guys talked about at least a 3x return on this expanded customer's order, is that still the expectation for 2020, and then in your prepared commentary your talked about implementing a more proactive approach to support can you just maybe discuss that in more detail, and then secondarily, can you maybe give us some more color on what drove the acceleration and revenue collection for business solutions in the fourth quarter?
Lior Shemesh: Sure. So, this is Lior. I will start with the first part and you will shed some more light about the progress. So we still feel very strong about the opportunity in 2020 with regard to the care and we still feel very strong about the returns about the fact that sense that we indicated last year. Obviously, some of it already incorporated into our guidance, but not all of it, because in a way it's still work in progress. So I think that we might get some upside during this year and certainly next year, but Nir will elaborate more about it.
Nir Zohar: Yes, so I think generally company our size do such a change for the customer is really a big - it's a huge undertaking. And I think we move forward a lot, and then we had to align ourselves a little bit making some mistakes on the way, but all-in-all, I think that we're heading in a very positive direction with high cadence of training now, all of our agents to adopt this new approach, which really believe it. I believe that by the end of this quarter, or very early in Q2 we'll finish all of the training program. But the good news is that the cadence that in which we do it in groups, we already start seeing some of the agents that have been changed to we're taking phone calls. And there I can say that we're seeing extremely positive signs first and foremost by just much higher satisfaction customers that talk with those agents significantly more satisfied than it once we are still getting people who haven't had the training. And also, I would say on the financial side of potential because in much higher conversion rate for the three users that course in and will convert to premium after talking to agents. That is the trend, as well as when you look at premium users who call in and are just adopting a much higher level and more expensive level of our additional services. So I think that we have a very high conviction this is going to be a very successful undertaking in 2020, and many years to come.
Avishai Abrahami: Yes, with regard to the second question about the business solution growth. So we see obviously and this is what we indicated also last quarter is about the payment growth. So that was one of the reason why we see the acceleration in growth on business solution, and also much better adoption of application, including [indiscernible] that we've seen on a year-over-year basis.
Naved Khan: Got it. Thank you.
Maggie O'Donnell: Thanks, Naved. Can we have the next question please?
Operator: Your next question comes from Nat Schindler from Bank of America.
Nat Schindler: Yes. Hi, guys. So just looking at slide 11 for the first time, your cohorts for 2019 were behind your cohorts of the previous year -- any of the previous years, and is that because of the cutoff of connect, and do you expect that going forward?
Avishai Abrahami: The answer is yes. That is exactly because of the fact that we remove the connect domain package.
Nat Schindler: But I think that if we can go back to slide precisely, and look at the code value, I think which is a more important part you can actually see that it is still ahead of any cohort before that in terms of hearing. And that brings up another question, when you say you're billing, you're getting customers that are 1,000 times more valuable, or many times more valuable than previous ones. I assume you mean agencies, but are you building the agencies on a per Web site basis, or as you know, just as they probably were prior to 2019, or are you changing it to build them a kind of more enterprise pricing?
Avishai Abrahami: So, agencies are just part of it, and yes, and then they can be very different pricing model, but also, we have customers that for payment and for buying enterprise packages, and buying huge amount of applications, and just paying us substantially higher amount than the lower customer, right. So, and that is part of the reason that we felt that subscription alone does not necessarily reflect the value of customers, and as you just showed right with your question, which is the Q1 cohort to the 2019, of absolute number looks smaller, but if you look at the dollar amount, it is higher. So and that just showed that and this day, we believe that this discrepancy in this difference will continue to grow, going forward. And so it's important to be able to establish right matrixes.
Nat Schindler: Great, thank you.
Maggie O'Donnell: Thanks, Nat. Can we have the next question please?
Operator: Your next question is from Brent Thill from Jefferies. Please go ahead.
Brent Thill: Thanks. In the U.S., the growth rate was really consistent throughout the year, but you did see a pretty material deceleration in the Europe business starting at 32% growth going to ending at 21%. Can you just maybe talk through some of the reasons why you're seeing such a major deceleration, and what's about a quarter of your business?
Lior Shemesh: Sure, so I think that if you look at the chart, so obviously, the North America was extremely strong for us. And as we mentioned many times in the past, we do the TOI based on channel and geography or even country. For the fact is that, for example, many of our new initiatives will launch in the U.S. So obviously have the TOI and therefore, we can see that in some of the marketing it was more efficient for the other places. I think that you know, the rest of the regions were pretty much consistent. The only place where in the fourth quarter we saw like a kind of decrease compared to last time, was actually in Asia Pacific, and it was mostly because of Australia. I guess that it's got to do with the files and everything that's happened over there in the fourth quarter.
Avishai Abrahami: And then in regards to Europe, again, I think that this deal said a lot of the new initiatives will act first in the United States, but also things like Brexit and instability in Russia, and a slowdown business and that we can see already that is picking up back, and luckily, I mean, Brexit finally has been decided on.
Brent Thill: Okay, great. And just quickly, thanks for the color, just a quick follow-up. I know you mentioned you're moving away from subs as a metric, but you originally held a view that premium subs should accelerate in 2020 do -- are you still holding that deal or not?
Lior Shemesh: Yes, yes. Of course, we actually even feel much more bullish about it when we are starting the year. And I think that Q4 is a great indication for that. We actually managed to beat our own expectations in terms of net ads, and we're going to still, by the way, we're going to still provide subscription in 2020. And later on an annual basis, but again, I must say that from our point of view after everything that we discuss about the evolution of our business, and what Avishai mentioned before ARR, the way that we presented it, explain and show the business and the way that we actually look at our business in a much, much better way.
Brent Thill: Thank you.
Maggie O'Donnell: Thank you, Brent. Can we have the next question please?
Operator: The next question comes from Lloyd Walmsley from Deutsche Bank. Please go ahead.
Unidentified Analyst: Thanks. This is Chris on for Lloyd. Could you just talk about how you guys are thinking about the attach rate or some of these new functions associated with Editor X. The functions you guys talked about in the latter related to collaboration, management, and growth. And then, maybe second, can you just talk a little bit about how you guys are thinking about the value of these additional functions versus the value that the core Editor X product would provide on a standalone basis? Thanks.
Avishai Abrahami: I think that in regards to Editor X, the most [indiscernible] is that it opens Wix a completely new market, things like responsive design, very close to the HTML level, and really powerful editing of CSS, [indiscernible] professional designers to dramatically accelerate their work. We didn't launch the product yet, right, and we just announced it, and we hope to fully release it before summer, and so, we have not yet have the ability to share performance and revenues or anything else. And there's a value, it's a different pricing model. Of course, it's a different product to a different crowd, which we believe is by far the most superior product out there addressing this market and provide tremendous value. So especially combined, which covet. So it's going to have a different price model and a higher price model of course, and then when we actually release it, we will be happy to share it.
Maggie O'Donnell: Great. Thanks, Chris.
Unidentified Analyst: Got it, thanks.
Maggie O'Donnell: Can we have the next question please?
Operator: The next question comes from Jeff [indiscernible] from Oppenheimer. Please go ahead.
Jason Helfstein: Hey, guys. It's Jason. So two questions, at what quarter, this year will all subs be on the new pricing plan, and then secondly, give me an odd still a margin drag, and if so maybe help us understand how much it was a drag on last year, however you want to do it either free cash flow or your EBITDA balance?
Lior Shemesh: Sure. So with regard to the first question about the price increase, so obviously, we are going to see the end of it, or the effect of it in the second quarter. So, this is with regard to the first question. With regard to the [technical difficulty] and I think that later, we elaborate about it some more, we basically launched the new product; we see an amazing first results in terms of the business metrics. It's part of our guidance. It's yet not big but we believe that we are going to generate much more growth from DeviantArt in the future.
Nir Zohar: Hi, Jason. It's Nir. So as Lior mentioned, I think definitely on the margin side, DeviantArt is the drag fees very small, probably not that significant, but I think what's more interesting is that a lot of 2019, we managed to pretty much overall and release the new product of DeviantArt which, so to speak, kind of stop the bleeding in terms of decline in the amount of users and new registrants and…
Lior Shemesh: Tripled, more than tripled in auto new registration.
Nir Zohar: Yes, so we not only managed to stop that linearly as it related actually regarding to into the path of growth there, which we think is tremendous. So growth is even adoption in terms of new users, but also in the behavioral adoption within the community itself, how much people are uploading new media items, and then you are, how much people are communicating with each other and commenting. And this is basically I think, the right time for us to start working and how do we add value for those users that we can monetize on? That's definitely what we go - what we're going to do throughout 2020.
Jason Helfstein: Just a quick follow-up, there was just accounting question. There was a non-GAAP sales and marketing $1.7 million add back just what was that related to?
Lior Shemesh: Again, $1.7 million of non-GAAP sales and marketing.
Jason Helfstein: Yes, there was a -- in the reconciliation tables -- I think we can take it offline or I will talk to you later.
Avishai Abrahami: It's already the stock-based compensation expenses, but we can go over it offline.
Maggie O'Donnell: All right, thanks. Can we have the next question please?
Operator: Your next question comes from Mark Mahaney from RBC Capital. Please go ahead.
Mark Mahaney: Thanks. I wanted to ask about gross margin trends in both segments, creative subscriptions and business solutions, they've been -- they came down this last year you provided the reasons why the investments in Customer Care and in this mix shift towards G Suite and the Wix Payments. It sounds like going forward you expect creative subscriptions gross margins to kind of stabilize in 2020, would it then theoretically after 2020 start rising again as you get scale against the customer, customer care organization costs, and then on the business solutions side, it sounds like gross margins could be up or down. It'll just depend on the product mix shift, is there a way to know at what level those gross margins could stabilize maybe not in 2020, but at some point in the future? Thank you.
Lior Shemesh: Yes, so I think that you described it quite good. I think that the gross margins for the creative subscription are more or less stable. I think that the more that we actually get the benefit from the customer support and obviously from start to monetize on for example on Editor X. So I think that we might see some upsides on the gross margin. With regard to the business solution, you’re absolutely right, this really depends on the volume of payments for example, and volume of new products that we're going to launch, it will be part of it. It's really hard to tell but the most important thing that they are all adding incremental dollars. So this is the way that we’re actually looking at it.
Mark Mahaney: Okay, thank you, Lior.
Maggie O'Donnell: Thanks, Mark. Can we have the next question please?
Operator: Your next question comes from Sterling Auty from J.P. Morgan. Please go ahead.
Sterling Auty: Yes, thanks guys, I apologize if you covered this, but how do we think about how the FX impacts will kind of unfold through the year especially around collections?
Avishai Abrahami: Well Sterling, it’s hard to tell most of the impact that we have actually when you look at 2019, we know excluding the FX effect what was 28%, it was about on a year-over-year basis, it was $12 million. Many, many analysts say that it's going to reverse in 2020, but it's hard to tell and certainly we cannot tell that. So I hope that we will start to see the benefit of the Euro and the British Pound versus the Dollar. But it's hard to tell.
Sterling Auty: Okay, and then one quick follow-up if I may, look at the product roadmap you've done some vertical solutions to the years and then some horizontal, obviously, the new Editor update, how do we think about where the focus of the innovation will be as you look throughout 2020 and into 2021, is it going to be more of a horizontal broad based solutions like what you did with Editor or could we go back and see something that's a little bit more vertically focused?
Avishai Abrahami: I think that at this stage, we’re going to continue to focus on Editor X and similar initiatives in order to complete our offering to go after the creative and agencies. So that is probably what you're going to see most coming this year. We’re playing with a few verticals. And but it's not necessarily something that we're going to release this year.
Sterling Auty: Got it. Thank you, guys.
Avishai Abrahami: Sure.
Maggie O'Donnell: Thanks, Sterling. Can we have the next question please?
Operator: Your next question comes from Josh Beck from KeyBanc. Please go ahead.
Josh Beck: Yes, thank you for taking the question. I wanted to ask about the monetization strategy around Editor X and how it impacts Corvid. Are you looking at those things differently now that you have both products, maybe you could just give us update or realize it's evolving strategy?
Avishai Abrahami: Of course, this is Avishai. Still Corvid and Editor X actually complete each other right because one of them allow you to design the Web site in a super professional way and the other one allow to program and Editor X did super advisors to the Web site, so in many ways they multiply the power of each other. When we look at it, right, so Editor X is of course good, monetization would be aligned toward professional and then the fact that they are doing the design part of it. On Corvid, and so Editor X a lot of it will be geared toward how do we help designers and align their business with our business model with their business model. And Corvid is when you go deeper, right if you have a large customer right and enterprise customer, we're going to find, you’re going to find as Corvid will have more and more terms of payment in order to be able to scale that in the right way. So in kind of way, it's more of a matrix than the linear line, where Corvid goes deeper into each customer. And Editor X is actually allowing designers to work on multiple accounts. And that's, that's how we think about the business.
Josh Beck: Okay, that's helpful. And just to follow-up, it seems like one of the benefits of Editor X is that it has richer tie-ins with a lot of CSS platforms. So I'm just wondering, is that benefiting from it seems like there's a industry shift towards headless commerce and headless Web site, is Editor X in any way benefiting from that trend?
Avishai Abrahami: Yes, well I do believe so. You can do all that easily with Editor X and that really simplify the model work and enhance the result that you're probably going to get.
Josh Beck: Very helpful, thank you.
Avishai Abrahami: Yes.
Maggie O'Donnell: Thanks, Josh. Could we have the next question please?
Operator: Your next question comes from Nick Jones from Citi. Please go ahead.
Nick Jones: Thank you. I just have one question. In the shareholder letter you pointed to partners at one-time sales growing, I think more than 50% year-over-year, which is great growth but with Editor X and ADI and a lot of the tools you've created it kind of increased speed, can you kind of talk about the opportunity to maybe partner with higher volume professionals who are doing a lot more than 10 maybe 100 sites a month or is that kind of out of reach today?
Avishai Abrahami: So, this is exactly what we started to do in 2019. And we hope to continue to do it successfully in 2020. I think that it's a big milestone for which that it's able now to that for us a company to be able to work with the top agencies out there and to see the excitement they get from our products. So Editor X, I believe will continue to enhance exactly this trend, and as you said it's already 50%. So -- and it's a big number, so we're very excited about it.
Lior Shemesh: And I just want to add here, in terms of what you want to offer in Editor X and discussed that at the launch event two weeks ago, around Editor X is going to be a whole suite of functionality that is geared exactly towards those more bigger kind of professional designers and agencies. So I think that through 2020, we will definitely be able to care for them even better than we did in 2019.
Nick Jones: Great, thank you.
Maggie O'Donnell: Thanks, Nick. I think we have time for just one more question. Operator, can we have the last one?
Operator: Your last question comes from Matt Pfau from William Blair. Please go ahead, sir.
Matt Pfau: Hey, thanks guys for taking my question, but just another one on the partner program, maybe you can discuss which geographies you’ve seen the most success with the partner program and then as you look at where you're allocating your investments, are there certain geographies that are better suited for the partner program than others? Thanks.
Nir Zohar: Absolutely. So, it's Nir. I think currently, I would say the key geography is the United States and North America not solely, we do have people from across the globe as we’re a global company, but definitely in terms of how we launched it and focused our first efforts, it’s more we're garnering more attention in North America. Definitely in the future and [indiscernible] I think the potential here is that we are going to expand it to other geographies, and I think that it should be extremely successful all across the globe.
Matt Pfau: Great. Thanks, guys.
Maggie O'Donnell: Thanks, Matt. Operator, I think we actually may have time for one last question if you don’t mind.
Operator: We have question from Ron Josey from JMP Securities. Please go ahead.
Ron Josey: Great. Thanks for taking me back again guys. I was just thinking maybe [indiscernible] listen to call and thinking about the broader landscape and as Wix increasingly goes up market, can you just talk more broadly about the competitive landscape both on the DIY and do-it-for me business? I think we are seeing just newer products launched across the landscape, and just wanted to get your thoughts overall. Thank you.
Avishai Abrahami: Well, of course. So, I think as I said we now a two kind of competitive landscapes. And the first one is the do-it-yourself, and I think that as time passes, it’s become clear that the gap between us to our competitor is growing every year. And the launch new product is becoming always bigger. I think that news from the recent days just emphasize again the difference between open source being hosted on a domain selling company with generic hosting, and the lack of security where everybody can just hack into your Web site and it’s so hard to maintain it compared to a fully integrated and secured platform like Wix, and so we see that and think a lot of that is just making it easier for us to explain the value -- the tremendous value that we bring to our customers. As for the -- if you look at the designers and professional market, there are not really too many solutions in these market which is I think what allow us to actually be so bullish about it. Most of the offerings are old offerings made by old companies and very little that is actually [indiscernible] there, which I think give us a tremendous opportunity to innovate and continue to capture big portion of this market.
Maggie O'Donnell: Great. Thank you, Ron. Thanks for questions you asked today. Thanks everyone for joining.
Operator: Ladies and gentlemen, this concludes today’s conference. You may now disconnect. Thank you for participating.